Operator: Good day, and thank you for standing by. Welcome to the Fifth Year Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press *11 on your telephone. You will then hear an automated message advising a hinge phrase. To withdraw your question, please press *11 again. Please be advised that today's conference is being recorded. I would like to hand the conference over to your first speaker today, John Ragazino, external investor relations for Bitdeer Technologies Group. Please go ahead.
Yujia Zhai: Thank you, Operator, and good morning, everyone. Welcome to Bitdeer Technologies Group Fourth Quarter 2025 Earnings Conference Call. Joining me today are Jihan Wu, Chief Executive Officer; Matt Kong, Chief Business Officer; and Haris Basit, Chief Strategy Officer. Haris will provide a high-level overview of Bitdeer Technologies Group's fourth quarter 2025 results and discuss the company's strategy, provide a detailed business update, and review the financial results for the quarter. Jihan, Matt, and Haris will be available for questions after the formal remarks. To accompany today's call, we have provided a supplemental investor presentation available on Bitdeer Technologies Group’s investor relations website under Webcasts and Presentations. Before management begins their formal remarks, I would like to remind everyone that during today's call, we may make certain forward-looking statements. These statements are based on management's current expectations and are subject to risks and uncertainties, which may cause actual results to differ materially. For a more complete discussion on forward-looking statements and the risks and uncertainties related to Bitdeer Technologies Group's business, please refer to the company's filings with the SEC. In addition to discussing results calculated in accordance with International Financial Reporting Standards, or IFRS, we will also reference certain non-IFRS financial measures such as adjusted EBITDA and adjusted profit and loss. For more detailed information on our non-IFRS financial measures, please refer to our earnings release published earlier today, which can be found on Bitdeer Technologies Group’s IR website. With that, I will now turn the call over to Haris. Thank you, John, and good day, everyone.
Haris Basit: It is great to be with you today. The 2025 marked a defining period of execution and strategic progress for Bitdeer Technologies Group. Achieved critical milestones across our three strategic pillars, and position the company for sustained growth as a vertically integrated Bitcoin and AI infrastructure company. I will start with a brief overview of our financial performance for the quarter. Fourth quarter total revenue reached $225,000,000, up 226% year over year and 33% sequentially. Gross profit totaled $10,600,000, adjusted EBITDA was $31,200,000 for the quarter. While both metrics declined sequentially, the results primarily reflect a combination of lower average Bitcoin pricing, modestly higher electricity costs, substantially higher depreciation expense due to the rapid expansion of our self-mining capacity, and further investment in new talent to support our growing AI HPC initiatives. I will discuss these factors in greater detail later in the call. Let me begin with a brief review of our power and infrastructure portfolio. We continue to make meaningful progress during the quarter, advancing a global portfolio of sites that we believe are well suited to support both large-scale Bitcoin mining and next-generation AI and HPC workloads. Across regions, our focus remains on developing power-rich, capital-efficient infrastructure that provides flexibility, speed to market, and long-term strategic optionality. From an energy infrastructure perspective, execution during the quarter remained on track. At the January, we had over 1.66 gigawatts of capacity online, and a total global power pipeline of three gigawatts. We believe this represents one of the most attractive and AI-suitable power portfolios in the industry and provides us with a vast opportunity as the demand for such capacity continues to grow. Over the past several months, have seen a significant shift in market dynamics around AI data center development. Demand for large-scale colocation capacity has increased substantially and we have responded by refining our approach to better align with this opportunity. Therefore, we are currently prioritizing colocation services provided to Norway and the United States that are suitable for large-scale AI HPC deployments. Let me walk through a few sites and where we stand with our development plans. First, Teadle, Norway, represents our most near-term colocation opportunity. This 225-megawatt facility was originally constructed to Tier III data center specifications, which puts us in a favorable position for conversion to AI workloads. We estimate the retrofit will require much less incremental capital expenditure to add uninterruptible power supply systems, backup batteries, and generation, as well as some additional cooling capacity compared to industry benchmarks for greenfield Tier III data center development, which typically run in the $8,000,000 to $12,000,000 per megawatt range. The site benefits from hydropower with attractive economics; independent 100-megawatt transformers provide redundancy. We are currently in lease discussions with multiple counterparties and expect to be in a position to announce a signed lease agreement for Teadle as soon as possible in 2026, although the exact timing is very difficult to predict. This site should be capable of supporting initial test GPU deployment late 2026 and first production GPUs expected in early 2027. Second, our 570-megawatt site in Clarington represents one of the larger AI data center development opportunities in the United States. Have made progress on two fronts here. First, the local utility has accelerated our interconnection timeline. Second, we are currently in discussion with multiple prospective tenants. These are well recognizable companies in the space, and the discussions are progressing. While litigation has recently been filed that could potentially delay development at this location, believe that we have meritorious claims and a strong defense and will pursue an expedient solution. Given the scale of this site, even a partial or first phase lease would represent a significant milestone for Bitdeer Technologies Group and would provide substantial contracted revenue while derisking our development capital. Third, at Rockdale, we are pursuing a strategy that allows us to maintain our current Bitcoin mining operations while developing new HPC capacity. We are evaluating the acquisition of adjacent land to our existing facility we could potentially construct a purpose-built HPC data center. This approach would minimize disruption during data center development to our 563-megawatt mining operation, which continues to generate revenue. The greenfield HPC build would be designed from the ground up for AI workloads. The Rockdale site benefits from its location in the ERCOT market, provides operational flexibility. We are currently talking with prospective colocation tenants for this site. The dual-track approach, maintaining Bitcoin mining while developing HPC capacity, reflects our commitment to both businesses and our ability to optimize our power portfolio across use cases. While we are prioritizing colocation for our larger sites, continue to see opportunity in GPU-as-a-service for targeted markets. We are expanding our cloud platform in Malaysia by 10 to 15 megawatts, building on the success we have had in Singapore serving customers in biomedical, robotics, and gaming sectors who need fully managed orchestrated infrastructure. In the United States, we are planning to add 10 megawatts of GPU capacity in Washington state and are evaluating a partial conversion of our Knoxville site from Bitcoin mining to GPU cloud. I want to be clear that the scale of our long-term US GPU-as-a-service expansion is predicated on signing customer contracts. Do not anticipate deploying large speculative capacity. Expect all major GPU deployments will be backed by committed revenue from enterprise customers who are seeking meaningful capacity with comprehensive managed services. This disciplined approach ensures we are deploying capital we have revenue certainty. A key element of our strategy is how we are approaching data center development. We have built an internal development team with experience in very large data center construction and we are augmenting that team through strategic hires, working with experienced EPC contractors and general contractors on a fee basis rather than through joint venture arrangements. This gives us greater control over timelines and specifications, and importantly, it allows us to retain more of the economic value these assets generate. As we look ahead, the growth will continue to be anchored by our three strategic pillars, between mining, ASIC development, and HPC AI. Together, these represent a vertically integrated, highly defensible platform that leverages our deep technology expertise, proprietary chip design capabilities, and extensive global power portfolio. The supply-demand imbalance for AI compute continues to widen, and we expect this shortage to persist well into 2027. Time to power is a critical variable, and we believe Bitdeer Technologies Group is exceptionally well positioned to serve customers seeking both near-term and midterm capacity. On the Bitcoin mining side, the rapid expansion of our self-mining platform continues. We exited the year with more than 55 exahash per second of self-mining hash rate, and in the month of January alone, we brought another eight exahash per second online, exiting the month of January at over 63 exahash per second. This firmly establishes Bitdeer Technologies Group as one of the largest publicly listed Bitcoin miners by total hash rate under management. Supported by the disciplined rollout of our SealMiner fleet, accelerated deployment of SealMiner rigs has driven material improvements in fleet-wide efficiency. The SealMiner A2 and A3 being actively deployed in our self-mining business operate at approximately 15 to 16.5 joules per terahash and 12.5 to 14 joules per terahash respectively, and represent industry-leading power efficiency. As these next-generation rigs replace legacy third-party equipment, our blended fleet efficiency continues to improve, with our overall fleet-wide efficiency currently standing at 17.5 joules per terahash as of 01/31/2026. As SealMiner penetration increases throughout 2026, we expect our overall fleet-wide efficiency to continue to improve, enhancing our mining margins. Looking ahead, our self-mining operations are not plateauing. Our investments in chip design are delivering tangible results. During the quarter, we commenced mass production of the SealMiner A3 series. Initial shipments began in November, and we have deployed a total of 8.7 exahash of our SealMiner A3 to date. As we continue to retire older-generation third-party rigs, we expect the A3 series to continue to meaningfully contribute to our fleet efficiency improvements and growth throughout 2026. On the R&D front, our CLO4-1 chip was completed back in September. The CLO4-1 represents a meaningful step forward in efficiency and positions Bitdeer Technologies Group to maintain technological leadership as the industry continues its relentless drive towards lower power consumption per unit of hash rate. Mass production of mining rigs based on the CLO4-1 chip will begin in Q1 2026. CLO4-2 chip design remains under development at our US-based design center. Additionally, we have successfully taped out a new Litecoin chip, SEAL-DL1, designed for Doge and Litecoin mining. The initial test results of SEAL-DL1 have exceeded comparable rigs in both energy efficiency and hash rate. On the recent market conditions, the CLDL1 generates higher fiat-based returns per megawatt than our SealMiner A2. Preparation for USA SealMiner manufacturing remains in progress. This initiative is a core component of our vertically integrated strategy and aligns with both operational resilience objectives and evolving trade and supply chain dynamics. Now let me walk through our detailed financial results for the quarter. Before I begin, I would like to remind everyone that all figures I refer to today are in US dollars. Fourth quarter consolidated revenue was $224,800,000, up 225.8% year over year and up 32.5% sequentially. The year-over-year growth and sequential growth in revenue was primarily driven by significantly higher self-mining hash rate as a result of continued CLMiner deployment, as well as contributions from SealMiner sales, offset in part by slightly lower Bitcoin prices for the quarter. Self-mining revenue was $168,600,000, compared to $41,500,000 in Q4 2024 and $130,900,000 in Q3 2025, representing year-over-year growth of 306% and a sequential growth of 28.7%. Continued growth from Q3 2025 levels reflects a significant increase in average operating hash rate and associated Bitcoin production during the quarter, offset in part by 13% lower average Bitcoin prices quarter on quarter. SealMiner sales revenue was $23,400,000, up 105.4% over the $11,400,000 reported in Q3 2025. Total gross profit for the quarter was $10,600,000, reflecting a gross margin of 4.7%, versus 7.4% in Q4 2024 and $40,800,000 or 24.1% in Q3 2025. Significant decline in gross margin reflects the combined impact of several drivers during the quarter. First, obviously, we experienced 13% lower Bitcoin prices during the quarter along with the gradual increase of the global hash rate. Second, on the cost side, experienced an approximately 5% increase in average electricity costs per unit during the quarter when compared to Q3 2025, mainly due to the seasonal winter pricing dynamics at Norway sites. Third, the growth in our self-mining hash rate comes with a concurrent noncash depreciation expense associated with this fleet of new miners. Additionally, during the quarter, we changed our methodology for calculating depreciation expense to reflect a more conservative approach. Now depreciate rigs using a three-year straight-line method versus our prior assumption of a five-year depreciable life for hardware. Total operating expenses for the quarter were $66,300,000 compared to $42,500,000 in Q4 2024 and $60,500,000 in Q3 2025. The sequential increase in operating expenses was primarily driven by the following factors compared to Q3. We added more headcount to support both mining site operations and our AI infrastructure expansion, incurred additional holiday season compensation, along with an increase in year-end general corporate activities. These expenditures reflect the operational requirements of our growing infrastructure footprint and the resources necessary to execute on our strategic initiatives. Other operating expenses for the quarter was $43,800,000 compared to $3,700,000 in Q4 2024 and other operating income of $26,500,000 in Q3 2025. This was largely attributable to the fair value change of Bitcoins pledged for the Bitcoin-collateralized loan since Q3 2025. Other net gain for the quarter was $208,900,000 compared to other net loss of $4 and $79,800,000 in Q4 2024 and $238,500,000 in Q3 2025. This was largely attributable to noncash fair value change of derivative liabilities related to the convertible senior notes issued in November 2024, June 2025, and November 2025. Adjusted net loss was $82,600,000 versus $37,400,000 in Q4 2024 and $36,300,000 in Q3 2025. The increase in loss was primarily due to higher energy and depreciation costs, higher operating and interest expense, partially offset by the year-over-year higher revenue. Adjusted EBITDA was $31,200,000, versus negative $4,300,000 in Q4 2024 and positive $39,600,000 in Q3 2025. The sequential decline was primarily driven by higher energy costs and higher operating expenses attributed to salaries and wages for recent additions to our headcount, as well as a number of elevated costs associated with year-end holiday allowance and year-end general corporate activities. To provide a better sense of our G&A expense on a run-rate basis, our Q4 2025 results reflect approximately $3,000,000 of salary, wage, and benefits expense which will largely be recurring, as well as another $6,000,000 to $7,000,000 in consulting, legal, and travel expenses which can vary significantly from quarter to quarter. Net cash used for operating activities was $599,500,000, primarily driven by SealMiner supply chain and manufacturing costs, electricity costs from the mining business, general corporate overhead, and interest expense. Net cash generated from investing activities was $97,900,000, which includes $50,700,000 of capital expenditures relating to data center infrastructure construction, GPU equipment procurement, and tariffs and freight for mining rigs delivered to the data centers, and $150,600,000 of proceeds from the disposal of cryptocurrencies. Net cash generated from financing activities for the quarter $454,500,000, which resulted primarily from $388,500,000 of proceeds from the issuance of convertible senior notes, $168,000,000 in borrowings from a related party, and $141,500,000 of proceeds from shares sold under our ATM and ELOC program, free offset by $171,100,000 of repayments of borrowings. For the full calendar year 2025, capital expenditures for the continued build out of our global power and data center infrastructure totaled $176,000,000. Looking to full year 2026, we anticipate total infrastructure spend in the range of $180,000,000 to $200,000,000 for crypto mining data center construction. Please note that this guidance covers power and crypto mining data center infrastructure only and does not include CapEx for SealMiners and GPU. AI cloud and colocation capital expenditures are also not included. Turning to our balance sheet and financial position. We exited the year with $149,400,000 in cash and cash equivalents, $83,100,000 in cryptocurrencies, held at cost less impairment, $135,600,000 in cryptocurrency receivables held at fair market value, and $1,000,000,000 in borrowings excluding derivative liabilities. Derivative liabilities were $501,100,000, relate to the November 2024, June 2025, and November 2025 convertible senior notes. This represents $171,400,000 reduction compared to the prior quarter, reflecting a noncash fair value adjustment driven by the change in our stock price and settlement for partial principal of November 2024 convertible senior notes. As I mentioned earlier, this does not impact our liquidity or operations. Regarding our outstanding ATM and ELOC facility, we received approximately $143,600,000 in gross proceeds during the quarter. Approximately 6,700,000 additional shares issued. We have exercised disciplined capital allocation throughout the year using the ATM and ELOC opportunistically to support our growth initiative while minimizing dilution. As a final note to our financial update, we wish to note that starting in Q1 2026, we will begin to use GAAP instead of IFRS as our accounting standard. In summary, we are proud of our team's execution this quarter and throughout 2025. I want to express my deep pride what our team has accomplished this year. Established Bitdeer Technologies Group as one of the world's largest publicly listed Bitcoin mining operators by total hash rate under management. Our leadership position in self-mining and our proprietary SealMiner technology provide multiple paths to value creation that few, if any, competitors can match. Our pipeline of developed and contracted power capacity gives us a meaningful competitive edge in serving a variety of customers. The colocation opportunity ahead of us is immense, we are pursuing it proactively. We enter 2026 with strong operational momentum, a differentiated asset base, and a team that has proven its ability to execute at scale. Excited about what lies ahead and remain committed to delivering long-term value for our shareholders. Thank you, Operator. Please open the call for questions.
Operator: Thank you. We will now open for questions. As a reminder, to ask a question, you will need to press *11 and wait for your name to be announced. To withdraw your question, please press *11 again. Our first question comes from the line of Nick Giles of B. Securities. Your line is now open.
Nick Giles: Yes. Thank you so much, Operator. Good morning, everyone. Haris, really appreciate the comprehensive update, especially on the colocation side. And my first question was just, and I am sure you are speaking to a range of customers, and you know, at this point of negotiations or discussions, what is really the main items that are being discussed? Is it down to price, duration, timing? There is still a lot of work ongoing around design. Just any additional color on where you stand in the process.
Haris Basit: It is different with different potential counterparties, and we are all of those things that you mentioned are being discussed, maybe not with the same counterparty, but you know, I hesitate to say too much about these discussions. They are sensitive, and you know, very active at this time. So you know, we feel pretty confident that we are going to get colocation deals done in the near future. Predicting that time frame is going to be hard. And, you know, the discussions are pretty intense with several counterparties.
Nick Giles: No. Understood. That is helpful, and just my second question was, we think about financing, you made some important comments there on having a larger share of the economics. But should we be expecting in terms of debt cost of capital and what kind of credit enhancements are you looking at, if any?
Haris Basit: Cost of capital for these projects, for the colocation projects, will be very much determined by the counterparties and exact terms of the deal. So I think that that is hard to predict right now until we, you know, announce which of these deals are done with which counterparties. Was that responsive to your question? I am not sure if that is what you were.
Nick Giles: Asking.
Haris Basit: I mean, that is an important part of any deal. And, you know, it is because it does determine the cost of development to a large extent. And so we are, you know, we are looking at many different approaches here. It is a very important part of getting the deal done right. So it is something that we are focusing on as well. I cannot really say which ones are better or worse. It depends a lot on the counterparty, and it depends on, you know, there is a number of ways to do this. Most of them have been already done in the Marketplace. And know, I do not think you will see anything too dramatically different from those when we announce.
Nick Giles: Got it. Understood. Well, again, I appreciate the update, and continue. Best of luck.
Jihan Wu: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mike Colonnese of H.C. Wainwright & Co. Your line is now open.
Mike Colonnese: Today. First one for me on the infrastructure piece. It sounds like you are pretty far along in negotiations for a potential colo deal at the Teadle site. Curious what type of customers you are in discussions with specifically at that campus. And, Haris, if I heard correctly, it sounds like the full retrofit for the 225 megs could be completed by the end of this year. There a PUE you guys are assuming that number? I know it is built with Tier III standards in mind, but any additional color would be helpful there.
Haris Basit: Yeah. That is correct. We do expect completion of that Teadle Norway site in at the end of this year and then installation of production GPUs at the beginning of next year. And the PUE at that site is actually very low, which is one of the biggest advantages of that site. It is, you know, it is 100% hydropower. It is a nice cold climate. And there is chilled water available from a nearby lake. So the PUE there, for estimation purposes, is around 1.1. It is dramatically better than most locations.
Mike Colonnese: Got it. And then, the typical customer profile for that site specific, I know you are in discussions with the range of customers across the portfolio. I would be just curious with that international facility, the type of customers you are looking at.
Haris Basit: Yeah. I mean, there is some difference, but, you know, there is still a lot of overlap with the customers there versus customers in the United States. So but, you know, I really do not want to say too much about who we are talking to and the exact nature of those deals. They are fairly sensitive negotiations at this point. Understood. Understood. And then as it relates to the Bitcoin mining business, you guys are one of the few public miners that continue to rapidly expand your self-mining capacity. How should we think about growth in this business in 2026? Particularly as you look to pursue these AI infrastructure deals across parts of the portfolio?
Haris Basit: So one thing to say is that we are long-term believers in Bitcoin. And, of course, Bitcoin is in a little bit of a down cycle right now. But long term, we believe in Bitcoin. And we will continue to invest in our Bitcoin mining capacity. We have not given any projections for what the total hash rate for our company might be by the end of this year or in any future quarter yet. We are still evaluating that and we may project that at a later time. But at this time, we do not have any projections to share publicly for future growth of our hash rate.
Mike Colonnese: Got it. Thanks for the color, Haris, and best of luck with these opportunities.
Operator: Thank you, Mike. Thank you. One moment for our next question. Our next question comes from the line of Kevin Cassidy of Rosenblatt Securities. Your line is now open.
Kevin Cassidy: Yes. Thanks for taking my question. And congratulations on all this capacity you have activated. But maybe along those lines that was asked before, with the lower Bitcoin prices, is there a price where you slow your mining activity because costs are higher versus what the hash price would be?
Haris Basit: I am sure there is such a price, so we just have not reached it yet. So you know, our efficiency of our fleet keeps improving. And, so it also, you know, as price goes down, it be the entire fleet. Some parts of the fleet, you know, because of the efficiency and because of the energy price at that location, can continue to operate for quite some, you know, in quite some even further decrease beyond here. And then you will, some of the older machines that have been around for several years, those could be turned off first. Right? In fact, just in our normal upgrade cycle, we will be replacing those. So there is, you know, we have not reached that point now, and I do not anticipate that we will. But, you know, of course, there is such a price. It is just much lower than what we are at now.
Kevin Cassidy: Okay. Great. That is good information. I guess as you keep lowering your costs, then you can handle lower Bitcoin prices. But just as another topic, is the GPU-as-a-service, is there a good market for the, say, N minus one GPU clusters rather than spending money on the very leading edge of GPUs? Is there still a need for GPU-as-a-service for the older GPUs?
Haris Basit: Yes. There is. We are, though, however, typically pursuing the latest and greatest GPUs. But I mean, we still get demand for, you know, even our oldest H100s that we have in Singapore.
Kevin Cassidy: Okay. Great. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Darren Aftahi of ROTH. Your line is now open.
Darren Aftahi: Yes, good morning. Good evening. Thanks for taking my questions. Haris, could you dive a little bit more into sort of the scale and scope of the hires you have made for digital infrastructure towards the end of the year that you spoke to, and then kind of the cadence of continued investment in maybe Q1 and into 2026? I guess, at what point do you feel like you have an adequate team to kind of attack this opportunity?
Haris Basit: Yeah. I mean, we are very pleased with some of our recent hires. We have hired people with direct expertise in AI, in cloud services. And a lot of those folks have been in the United States, but also in Asia. The team is, you know, the number of people dedicated to this has grown dramatically. I do not think I have an exact number. But we continue to hire. I do not think we have reached, you know, a place where we think we have enough folks yet. But we are still looking for people, especially on the side of the engineering part of building data centers with still open racks there. So no. I expect that we will continue to hire throughout the year. And a lot of those folks will be in the United States. But, you know, we have also done significant AI hiring in Asia.
Darren Aftahi: Got it. And then same question on the Rockdale site is sort of twofold. In terms of land acquisition for that, kind of where are you, and what is the timeline on process? And then I know Oncor is supposed to put another substation in, and I think you guys have spoken to additional capacity there. I think it is in the 100-some plus megawatts. But in light of kind of the seesaw that is going on with ERCOT and decision on batching, just kind of curious about your thoughts about prospects of Rockdale actually growing as a site. Thanks.
Haris Basit: The recent, you know, information around ERCOT and power allocation in that region, we do not believe that applies to the growth at Rockdale. So the 179, up to 179 megawatts that we anticipate we could add there, should not be affected by that. And I say it that way because, of course, we do not know what the exact regulations will be. They are just still under discussion. So we do expect that we will get most of that, if not all of that additional capacity. The land acquisition there is moving forward. You know, it is not done until it is done, but we are, we are, yeah. I am not sure how to characterize where we are in that process, but, you know, we are actively pursuing it. And we expect that we will finish it. But until we do, it is hard to say exactly when that is going to happen. Great. Appreciate the insights. Thanks.
Operator: Thank you. One moment for our next question. Next question comes from the line of Greg Lewis of BTIG. Your line is now open.
Greg Lewis: Hey. Thank you, and good morning. Good open. Hey, I guess first, I mean, on published numbers, I guess you guys are the bitcoin miner of the listed companies by XFASH. So congrats on that. I did want to talk a little bit about the GPU business. You noted about potential expanse. You should a mouthful. The potential expansion in Malaysia. Know, just kind of curious, is that infrastructure that we are building, are we leasing? And then just kind of how should we think about, you know, the rollout of that, I guess, I think you mentioned 15 megawatts in Malaysia for the GPUs.
Haris Basit: Yeah. That is infrastructure that we are leasing. I welcome Matt or Jihan to add to that. They want. But what was the second part of your question? How should we think about the rollout of bringing those 15 megawatts online and generating revenue from that? I mean, we have proactively purchased some, I think, the GB200 NVL72 and installed it just recently there. So that is in place right now. In terms of additional machines there, do not think we have made any announcements at present. So that is actually.
Greg Lewis: Okay. But it is, but it sounds like it sounds like we could start seeing revenue maybe in the second quarter, and then maybe that scales up sequentially for a couple of quarters?
Haris Basit: Yeah. I think, John and Matt are closer to that than I am. So I do not know if, is that a, is that a correct statement that you have?
Jihan Wu: I think we will be able to deploy GPUs into those infrastructures at the fourth quarter or third quarter of this year. It depends on when that infrastructure will be ready. We will no tests. It will be ready around June. But, and maybe there will be one or two month delays. So I sent 2024 can be more conservative estimation.
Greg Lewis: Okay. Super helpful. Alright. Hey, everybody. Thanks for the time, and have a great day.
Jihan Wu: Thank you, Greg.
Operator: Thank you. One moment for our next question. Our next question comes from the line of John Todaro of Needham. Your line is now open.
John Todaro: Hey, great. Thanks for taking my question and the all the extra hash, bro. I guess, can we just get a bit more color on Clarrington? Like, do you need litigation results before signing an HPC customer there? You view that differently. Maybe any guardrails on timeline there? And then I have a follow-up on the mining piece.
Haris Basit: So because it is litigation, we have to be sort of, you know, more careful in what we say here. You know, our attorneys feel very strongly that we have a very good case here, and the litigation has little merit, and we will, you know, prevail here. And on the business side, we are, you know, exploring alternative that can mitigate the impact of the litigation. I do not really want to say a lot more than that. You know, as we said in our scripted remarks, we do anticipate that there will be, you know, some potential delay. But, you know, we are still confident in the site overall. But it is early days, and we, you know, we are looking at some significant alternatives.
Jihan Wu: Yeah. I think the alternative, alternative here, we have multiple alternative options. Creating alternative options is to solve those problems. I believe it is very critical solving those problems. And at a company level, Clarrington, Rockdale, and our lower chin size, we would be able to have lots of alternatives. Other than Carrington. This is the company level. And under the Clariton level, we believe we have several solutions. So I do not think that we are really caught at this kind of litigation.
John Todaro: Okay. Understood. Thank you for that. And then on the that latest tape out for the Dogecoin and Litecoin mining, do you anticipate mining some of these other assets? Alongside Bitcoin? And maybe I was looking at some of the margin profile. It looks like there is still some margin there. But maybe the opportunity in those as well.
Jihan Wu: Well, I think 99% or 98% will still be Bitcoin mining. This autochrome mining operations cannot really be scalable very much due to the market cap. So we count into a very small size operations. But on those, on those capacity, we deploy those manual rates yield out of from those capacity will be significantly improved. So I think it is worth the effort to add some, add some. And then, by the way, this is our first b commanding chip and the manual machines that are designed and manufactured totally depends on our Singapore and the Malaysia office. And the Malaysia operation as well. Malaysia operation, we started to build since last year or earlier. I think that this product, it also means that our supply chain center in Malaysia has been quite mature. So Malaysia and Vietnam, we will have two supply chain center. For companies. Think it is very strategic and important for the resilience of our business in the future.
Haris Basit: Understood. That is helpful. Thank you, gentlemen. Appreciate it. Thanks, John.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brett Knoblauch of Cantor Fitzgerald. Your line is now open.
Brett Knoblauch: Hi, guys. Thank you for taking my question. Maybe now that we are several weeks into the year, I am curious if you have any insights into what wafer allocation is going to look like this year compared to last year? And on the back of that, with Bitcoin price coming down, network cash staying resilient, hash price going to kind of near all-time lows, does that, you know, more incentivize you guys to use manufacturing capacity for, call it, internal use rather than sell external? Or how should we kind of look at the split between what you guys manufacture for yourselves Versus sell this year? Thank you.
Jihan Wu: We cannot tell the exact number or situation with the different allocation, but we have a really good relationships. And even though the we all know that the demand for AI business is huge, several times. Then take them to rehab, but we will get some co coda from additional capacity. And the hash price drops to historically due now recently. And it became very difficult for sending the money works with profit. But we have our own capacities or electricity cost is one of the lowest on the market. And our CapEx, so perhaps combined together, we are the lowest on the market. So our self money definitely became kind of very defensive, very safe strategy for our companies to make sure that even though in this kind of environment, our Bitcoin mining operations will be profitable. So self deployment will be a very important strategy in 2006, especially in the kind of a very bearish marketplace. I think our market share for the Bitcoin mining output will continue to grow. Into something.
Haris Basit: Perfect. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mike Grondahl of Northland. Your line is now open.
Mike Grondahl: Hey, thank you. Hey, Haris, I just wanted to ask, on the November call, there was a significant emphasis on, you know, GPU rental, and that is what Bitdeer Technologies Group wanted to do. And now it seems like you are adjusting that a little bit on some of the larger sites, you know, colocation. Can you just talk about pivot away or why you are seemingly deemphasizing GPU rental at some of those large sites?
Haris Basit: Maybe, Jihan, do you want to do that answer first, and then I can chime in if there is still.
Jihan Wu: Yes. I as an on the very live site, colocation is kind of very natural and good choice for a company. And for GPU rental, we have a smaller size Washington State and Tennessee State. We can absolutely handle that ourselves. And maybe a larger capacitors for a lot of interest is besides, like, 10 megawatts or 50 megawatts. They want the nitrocytes anyway, and the nitrocytes in before company better to have some coefficient deal.
Haris Basit: Do you have another question, Mike?
Mike Grondahl: No. So hey. Just so I understand, you have just sort of the larger sites, you will go colocation. The smaller ones, you go GPU rental. I guess that was kinda my takeaway. Is that fair?
Haris Basit: Yes. That is correct. Got it.
Operator: Okay. Thank you. Thank you. One moment for our next question. Our next question comes from the line Steven Glagola of KBW. Your line is now open.
Steven Glagola: Hey, thanks for the question. I have two. First for Haris. I would like to clarify whether Bitdeer Technologies Group’s US AI cloud expansion and potential expansion in Washington and Tennessee is dependent on securing multiyear reserve capacity agreements? And if so, one of those commitments would primarily be for bare metal deployments. That is one. And then second, for Jihan and Matt, you know, it would be helpful to hear your perspective on why USA cloud expansion is strategically attractive at this stage. You know, how do you think about sort of long-term competitive advantages in AI cloud as you broaden beyond your current Asia-centric footprint? Thank you.
Haris Basit: So the first part, our expansion of GPU in the United States is dependent on, you know, signing contracts, at least any significant large-scale expansion is. You know, we can speculatively do small expansion in the United States. But as we said in the statement, anything significant would be backed by contracts.
Jihan Wu: And we have our own data centers. I think that is very important advantage right now in the US market. Means that under the end of this year, we will be able to deploy the H300 and about rubings with our own data centers. In the United States right now is the center of AI innovation globally. The demand in US market is so much stronger than any other market. And also the US customers also just one. Capacity on US soil. So we have this kind of capacity in US. And we are going to build it, and then we can build it. We will finish it. I think this will be the most important advantage on the market right now.
Operator: Thank you. Thank you. I am showing no further questions at this time. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.